Operator: Good morning, everyone, and welcome to the Kansas City Southern Third Quarter 2021 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please also note, today’s event is being recorded. It is now my pleasure to introduce you to Ashley Thorne, Vice President, Investor Relations for Kansas City Southern.
Ashley Thorne: Thank you, Jamey. Good morning, and thank you for joining Kansas City Southern's third quarter 2021 earnings call. Before we begin, I want to remind you that this presentation contains forward-looking statements within the meaning of the Securities Exchange Act as amended. Actual results could materially differ from those anticipated by such forward-looking statements as a result of a number of factors or combination of factors, including but not limited to the risks identified in our Annual Report on Form 10-K for the year ended December 31, 2020 and in other reports filed by us with the SEC. Forward-looking statements reflect the information only as of the date on which they are made. KCS does not undertake any obligation to update any forward-looking statements to reflect future events, developments or other information. And with that, it is now my pleasure to introduce Kansas City Southern's President and CEO, Pat Ottensmeyer.
Pat Ottensmeyer: Thank you, Ashley. Good morning, everyone. Thank you for joining us for our third quarter earnings call. I'll just start with Slide 4. I think it’s - most everyone here is well known, we did ask Adam Godderz to join us today, our General Counsel in the event we get into some detailed questions about the merger timeline. And you will probably all notice the absence of Sameh Fahmy from the agenda today. I think many of you probably saw the press release that we sent out last week, announcing that Sameh will be leaving the company between now and the end of the year. We had originally thought that this earnings call was going to be last week. Sameh had planned some very well deserved vacation that he continued to follow through on. I don't think Sameh has taken more than two consecutive days of vacation for the last almost three years. So Sameh is not with us today. Just reiterate what I said in the press release and what we said on other occasions, really cannot say enough about what Sameh brought to the company over the last almost three years, his enthusiasm, his focus, his passion. Those of you who know Sameh know that passion really is probably the one word that describes him better than any others, has been of tremendous value to us over the last almost three years. He has built a lot of very strong muscle tone across our organization with people that were here before, and are here now to carry on our focus on PSR disciplines. And very importantly, he help to recruit and strengthen our team. And most noticeably with the presence of John Orr, who you'll hear from later in this presentation. So we again will have the opportunity to celebrate Sameh and his contribution to KCS in November next month at the RailTrends Conference, that I know a lot of you attend. We are going to be having a reception for Sameh on Thursday, November 18, in New York in connection with the RailTrends Conference. And I know Sameh is very much looking forward to seeing everyone there and having an opportunity to chat with some of his closest friends in the investment community. So if you haven't already be become aware of that, mark your calendar for November 18 in New York City. With that, I will turn to Slide 5. I think the most important thing we will probably cover here in questions in this call is the path forward on the Canadian Pacific Kansas City Southern merger. We continue to make very good progress toward closing our transaction with Canadian Pacific as you know to create the first single line rail network linking U.S., Mexico and Canada truly a North American rail franchise. We and Canadian Pacific have filed with the SEC a registration statement and proxy statement for use in connection with the shareholder votes on this transaction. Following completion of the SEC review process, we will announce the meeting date for our special shareholders meeting and mail proxy materials to our shareholders. We currently expect the special shareholder meeting for both KCS and CP to occur by the end of the year. As you know, KCS shareholders will receive their full consideration upon closing into the voting trust, which we expect in the first quarter of 2022. Closing into the voting trust is subject to KCS and CP shareholder approvals, and satisfaction of other closing conditions, including Mexican regulatory approvals, most noticeably the COFECE and Antitrust agency. Just as a reminder, while KCS is in voting trust, our existing management team and Board will continue to run and leave the business and former KCS CEO, Dave Starling, will act as the independent trustee. While in trust, we will retain both full independence and the ability to manage capital investments according to our planned capital program. We anticipate receiving full STB merger and control approval and other applicable regulatory approvals in the second half of 2022, after which the voting trust will be terminated and CP would then have full voting rights and control of KCS. In advance of this milestone, we are working very closely with CP on the integration, planning process and merger approval process. Following STV control, we intend to implement these integration plans and begin to unlock the full potential of our networks, our markets and our people. Be happy to answer any questions in the Q&A section of the call later on. Moving on to Slide 6, I'll just briefly cover our results for the quarter. Revenues were up 13% from last year, or 6% after adjusting for FX and fuel. Volumes were down 3% from last year. We continue to operate in challenging commercial environment with auto plant shutdowns caused by the global microchip shortage that everyone is very well aware of, teacher strikes and disruption of service and the stretch of our railroad between Lazaro Cardenas and Mexico City. And, finally, increased regulation of refined fuel products shipments into Mexico that have - that has resulted in supply chain disruptions in that area of our business. Masking some bright areas and improvement operations and customer service, which we will hit on shortly, we're very, very pleased with the improvements that we've seen in our service metrics and certainly customer feedback, which, again, Mike and John will talk about later on. Second quarter reported operating ratio of 66.1 and diluted earnings per share of $1.71, both of which includes the impact of merger-related costs. Our adjusted operating ratio of 61.2 and adjusted EPS of $2.02 is a better view of our underlying results for the quarter. These results have fallen short of our expectations and previous guidance due primarily to the commercial challenges that I mentioned a moment ago. Additionally, we deployed incremental resources in the second quarter to improve our service, restore network, operating performance, and be prepared for the return of some of the revenue shortfalls that we experienced earlier this year. In addition to addressing service, we did expect demand to improve more quickly than it did, which has created pressure on our productivity, particularly early in the third quarter. John will talk a little bit about the performance over the course of the quarter in a couple of minutes.  We're the first to admit that visibility on the commercial side is limited given these challenges. And therefore we are suspending guidance at this time until we get a better feel for the duration of the chip shortage, teacher strikes and refined product supply chain disruptions. Moving on to Slide 7, we're pleased with the improvements we've made from a network perspective. The 15.3 mile per hour gross velocity was the best ever for a third quarter and dwell return to more historical standards. Particularly encouraged by the sequential improvement throughout the quarter and into October. We exited the third quarter with gross velocity at 16.4 mile per hour and dwell of 19 hours. Our U.S operations lead improvements in the early part of the third quarter and a sustained and built upon that, over the course of the quarter and into October. Mexico demonstrated accelerated improvement in the second half of the third quarter as well. I'm going to invite John or at this point to make a few comments while this slide is still up on the screen. And you're all hopefully looking at it. Just to touch on a few more details and some of the initiatives and momentum that we continue to see in our key operating metrics and then cover network performance on the following slide as well. So John, if you'd like to make some comments here,
John Orr: yep, Thank You, Pat. And as you said, there's a lot of encouragement from a network perspective with gross velocity and well in the range of best Q3 at this point. I just said the sequential improvement in gross velocity and dwell moving into the third quarter and the first three weeks of October is very promising. Or as you said the US lead promising, or as you said, the U.S led in the early part of Q3, the transformation and gross velocity and 12 were 30% and 10% better respectively. Thank you. Q2 levels. And in Mexico as you -- again as you said, the second half of Q3 was where we really start to see the traction for gross velocity and dwell. And we finished the quarter 18% and 23% better respectively than the Q2 levels. The strong performance is continuing into Q3, and as our velocity and dwell are in the 16 and 18 hour range. And what's really encouraging is the run rate improvements are continuing well into October. I feel particularly good about our resource levels. We have a more fluid network, and we're seeing improvement in utilization of both our locomotive centre crews. While our average locomotive fleet is up year over year, it really doesn't quite tell the full story. We began the quarter with an active fleet of 1,047 locomotives, and through improvements and initiatives and a lot of college sweat equity, we were able to park or return over 170 units. We exited the quarter with an active fleet of 868 units. And the average count in Q3 was 7% lower than what we saw in Q2. And we're continuing to push more of our fleet. And as of this morning, our range was in the 840 locomotives. Our T&E headcount is up year-over-year, and we brought back our crews from furlough. And we've added in key and select locations to meet the current demand and as you said for volume growth. Our crew utilization and GTMs per crew starts are improving and recrews were down to the lowest levels of the year in September. In the U.S., for example, recruits were down 60% -- six 0% versus May Of 2021. I believe we're well-positioned from resource and capacity perspective to have a very, very successful peak season. The locomotive discipline will afford growth at low maintenance costs and through better yields and reliability, or criminalization initiatives or changing behaviors, resulting in metrics that are very healthy, but GTMs for crew starts well above historic levels. And fluid capacity in inventory levels are well understood and the team is reacting in real-time to ensure train counts and other controllables are adjusted accordingly. If we could move to Slide 8, there you can see the positive impact that additional resourcing and operating initiatives have on gross velocity and dwell despite the broad and well documented challenges of the North American global supply chain. Significant improvement in execution at the field level driven by Tim Livingston and at the NOC level by Mike Walczak, are foundational to the improvements in our operating metrics. On time origination of the network improved to 87% versus 77% a year-ago. And within the overall network, the execution in Mexico really stands out. Right car, right train improvements from 82% versus 77%. The last mile first half performance has improved 86% and 83% versus 83% and 78% beginning in 2021. One of the barometers of our organizational health is the cross border shuttle time and our cycles for the most recent 20 days is approximately 15 days versus 27 days in the early spring. We implemented daily NOC led cross-functional, cross border grain calls earlier this year, where we drill into train and terminal operations to accelerate and optimize handoffs across divisions and interchange partners. The team measures themselves against offline and online destination performance, time distance standards, mechanical reliability and readiness and they make tactical decisions necessary to optimize the cycle. Given that these are some of the longest runs on KCS from Southwest Illinois and Kansas City into Central and Southern Mexico and traverse areas that we've talked about in the past as congestion points, the Houston Trackage Rights, Borders Zones and the Monterrey area. This is one of the best examples I can give you of the discipline and adaptability that the team has been able to implement over the past several months. Structural improvements includes rationalizing some of our network or some of our Mexican network and removing all of the workload from rail yards in Ahorcado, Vanegas and Nuevo Laredo. These moves were the key catalysts to unlocking velocity improvements in Mexico and driving that dramatic reduction as well that I've previously mentioned. Exiting them has strengthened the skill of the team and requires a sustained level of rigor and responsive to execute day in and day out.  If I could add customer facing metrics and performance improvement has followed the broader network trends. Our overall trip lane compliance that measures the capability and reliability of our customer service is at the highest levels in over a year and have sequentially improved since July. Coordination and communication between sales and marketing and operations has much improved. As part of the moderate engagement effort, we've embedded the customer solutions into the operating control tower team. Real-time issue identification and decision making are optimizing customer solutions in our very key market. And this is delivering world class first mile last mile extra execution in this complex -- industrial complex. These are really the highlights of KCS's mature end-to-end product level view of PCR -- PSR. We're focused on our customers with a bias towards growth, through maximizing use any reliability of our assets and investing in resources to deliver reliable customer service and deal with increased complexity of the KCS and global supply chain. Most encouraging is the lateral and vertical alignment within operations and across the commercial and financial groups that is creating cohesive and sustainable momentum and very favorable results for customers and stakeholders. And with that, I'll turn things over to Mike Upchurch.
Mike Upchurch: Thanks, John, and good morning, everyone. I'm going to start my comments on Slide 10. I'll cover revenue and volumes in a little more detail on the next slide. But overall, quarterly revenues grew 13% on a 3% volume decline. Our reported operating ratio of 66.1% includes $37 million of merger related costs that we incur during the quarter. Excluding those merger costs, our adjusted OR was 61.2% to 240 basis point increase year-over-year and flat sequentially. As Pat mentioned, we had several discrete commercial challenges and increased costs from network congestion that I will discuss in more detail on the next few slides. But let me cover a few of the key expense items in the quarter that contributed to the adjusted OR. We incurred roughly $10 million or 130 basis points of incremental expense in the quarter from resources that we deployed to address the service challenges we were experiencing earlier in the year. You may remember that last quarter we referenced approximately 200 basis points of headwind from costs attributable to congestion. So the good news is these costs have come down as we've progressed through the third quarter and as John indicated, our networks running about as good as we've seen in a long time. The improved trajectory along with significantly improved service gives us a level of confidence that we will be able to leverage our resources deployed going forward and achieve better productivity. We also incurred $6 million or an 80 basis point higher year-over-year derailment and casualty expense. And as we discussed on the 2Q call, we incurred $4 million in the quarter, roughly a 50 basis point impact from Mexico outsourcing reform and I'll cover that in a little bit more detail in the following slides. Our overall reported, diluted earnings per share were $1.71, adjusted for merger costs and foreign exchange. The adjusted diluted earnings per share was $2.02, up 3% from a year ago. Continuing on Slide 11, this quarter we generated 13% revenue growth from a 3% decline in carloads. On a fuel FX constant basis, our revenue growth was 6%. As a reminder, fuel and foreign exchange impacts are generally operating income neutral. Over the long run, although we did experience a 50 basis point negative impact OR in the quarter, largely due to higher fuel prices. Our revenue per unit was up 16%. We have some mix issues with intermodal carloads down 13% that ended up positively impacting overall RPU. We also benefited from positive pricing and length of haul increases in the U.S that were primarily within our higher revenue per unit, chemical and petroleum and industrial business units. In addition to seeing overall increases in revenue per unit from fuel and FX. Regarding price, we are keeping an eye on the recent uptick in inflation. Our Q3 pricing results were consistent with what we've seen in previous quarters this year, but rising inflation is increasingly concerning. We are carefully monitoring inflation as we work with customers to manage their overall transportation costs. And as we review contracts and head into a heavy renewal season in the first half of 2022 and specifically, we have roughly two thirds of our business that will get repriced in 2022 with almost half of that being in the first quarter. We're certainly going to be mindful of the need to ensure pricing adequately covers inflationary costs. Turning to volumes, as Pat mentioned earlier, the Q3 volume decline was primarily due to three key areas segments, the auto plant shutdowns driven by the global microchip shortage, and obviously overall volume related to finish vehicles was down about 30%. We saw some additional pressure on the intermodal auto parts business that we move southbound into Mexico and other supply chain impacts including plastics and metals that are inputs into auto production. Currently, it's unclear when these supply chains will normalize, but we are working closely with our customers to understand timing and we stand ready to support them as our production normalizes. Service interruptions at Lazaro due to blockages resulting from the teachers protests have impacted our volumes for more than 75 consecutive days now. In 3Q, we were essentially operating trains only in the month of July, with no traffic in August or September. During the quarter, the blockage of our line resulted in approximately $25 million of lost revenue, a 100 basis point negative impact to operating ratio and about $0.13 negative impact to EPS. These blockages resulted in about 67% lower volumes for Lazaro intermodal as well as negative impacts or heavy fuel oil moves for Pemex along with some metals volumes. As we discussed last quarter, our refined fuel product shipments have been negatively impacted by increased government regulation in Mexico, resulting in certain supply chain disruptions. These temporary regulatory impacts resulted in 18% lower energy reform volumes. However, we continue to expect that these impacts are temporary as we continue to help the government ensure customer compliance with the new regulations. The underlying market dynamics remained unchanged. Mainly the two thirds of Mexican gasoline and diesel demand is being supplied by the import market. And KCS is obviously extremely well-positioned to bring that product from the U.S Gulf Coast in the Mexico to help cover the supply shortfall. While there is some evidence that there's been a shift in fuel importation from rail to truck we continue to believe rail is far more efficient mode of transportation and that we will see volumes rebound. Strengths, we're seeing in energy, industrial and consumer and Ag and Min. Energy carloads were up 43% driven by low coal stockpiles, steady demand, which has obviously been helped by high natural gas prices that have been hovering between $5 and $6. Along with the startup of the DRUbit Port Arthur terminal. Industrial and consumer carloads were up 7%. This business unit benefited somewhat from easy comps a year ago, but also healthy industrial demand and new steel production facilities that we've talked about for a while that have come online and we still have a few new plants that will open up later this year and into 2022. And then finally, our Ag and Min carloads were up 5% on steady demand in the improved cycle times that John mentioned earlier. As Pat mentioned, we withdrew our guidance due to certain uncertainty related to the microchip issue, the Lazaro blockages and the refined fuel supply chain disruptions. However, we do believe that these are transitory in nature and our medium to long-term outlook for those business units remains unchanged. Moving to Slide 12. Given that the expense we incurred to recover from our service challenges and other drivers in the quarter, such as fuel price FX, Mexico outsourcing reform and higher derailment and casualty expenses, we saw an overall 18% increase in operating expense. Fuel increased $20 million from price and $3 million from consumption, primarily driven by fuel price increases in both countries and higher GTMs in the U.S from increased bulk shipments. We also saw an $11 million increase in expense from foreign exchange, but that was more than offset by a $12 million increase in revenue from FX. We experienced a $9 million increase from headcount and hours worked, which I'll talk a little bit more about the next slide, along with a $4 million increase from wage and benefit inflation, which was partially offset by a $7 million reduction in incentive compensation. Additionally, as we signaled on our second quarter call, we incurred incremental expense in Q3 related to Mexican outsourcing reform. And specifically, we saw comp and benefits increased $5 million, but that was partially offset by $1 million in lower purchase services from the in-sourcing activities for $4 million net year-over-year increase. Looking forward, we would expect to incur an additional $3 million expense increase due to the outsourcing reform, but believe the impact will be immaterial in 2022 as we fully realize the savings of in-sourcing vendor services. We also incurred a $6 million increase in materials and supplies primarily from the increased locomotive fleet that John referenced. However, as we go into the fourth quarter, we should fully expect to see those costs decline, given the decrease in the active locomotive fleet, primarily due to higher derailments we saw $6 million increase in casualties, we also saw a $4 million increase in property tax, but that's a negative year-over-year comp because of a $3 million credit we recorded in 3Q of 2020. We had a $4 million increase in employee expenses as we incurred higher lodging and taxi costs for our T&E crews, resulting from higher crew starts. And finally, a $4 million year-over-year reduction in car hire, driven by supplier incentives, and improved cycle times from the improvement in velocity. And then finally on Slide 13, let me cover comp and ben and fuel expenses real quickly. Comp and benefits expense increased 14% or $16 million in Q3; $9 million from the headcount work hours, driven by a 3% increase in headcount, which does exclude the impact of in-sourcing that we've provided more information on the slide. The increase in headcount and crew starts were almost entirely in the U.S., as we brought on resources to improve service and address a 6% volume growth that we saw in carloads in the U.S., which would have led the industry. As discussed on the prior slide, we did incur incremental expense in the quarter in comp and benefits on Mexico outsourcing. But as I indicated earlier, we saw some benefits in purchase services and expect that impact going into 2022 to be immaterial. We also had a $4 million impact from foreign exchange, $4 million from wage and benefits and then those increases were offset by a $7 million decline in incentive comp as we lowered our accrual for annual incentives compared to 3Q of 2020. And then finally fuel expense increased 53% in the quarter, driven by a 42% increase in fuel price, foreign exchange and the increase in consumption. As I've done in prior quarters, maybe just a quick summary of the quarter obviously a very tough quarter from a demand perspective, largely transitory type issues. We did have some cost creep, but we think we're getting much better there particularly on the equipment side as we execute here in 4Q, had some negative fuel price impacts and Mexican labor law impacts. And then from a sequential perspective, despite a decline of 4% in volumes, we saw a slightly improved operating ratio and 3Q. So we think the setup for 4Q and going into 2022 will be better than what we saw in Q2 and Q3. So with that, I'll turn the call back to Pat.
Pat Ottensmeyer: Okay. I think, Mike, summarized the quarter really well. Just a couple of things that I would add, and that is, like the way he referred to the setup. Just we were quite intentional during this quarter to bring resources back to deal with network congestion, some unexpected things related to the fuel, the refined fuel issues in Mexico, the permitting requirements, et cetera. I think Slide 8, that John went through is really one of the most impactful here in our presentation today, just the magnitude of the improvement in some of our service metrics. We're seeing this down to the customer level as well. And we still believe that the revenue headwinds, the areas that Mike touched on are transitory. Maybe we can debate, how long transitory covers, what timeframe. Our crystal ball is no better than anybody else's. We are staying really close to our customers, but certainly in markets like the auto finish vehicles, that business will come back and I think we are set up. Again using Mike's term, very well for recovery when that business does return hopefully -- soon hopefully in the fourth quarter, but certainly early next year. And then obviously the focus on the merger making great progress there. And I think we see a clear path to getting all the regulatory and shareholder approvals and concluding that transaction in the next few months. So with that, the whole team is available for any of your questions.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Our first question today comes from Chris Wetherbee from Citigroup. Please go ahead with your question.
Pat Ottensmeyer: Good morning, Chris.
Chris Wetherbee: Good morning. Good morning, guys. Maybe I can just ask about the operating ratio. So you talked about sort of the setup going forward and maybe some improvement sequentially in how things were going. But we also talked about sort of some resource additions to be able to catch up on some of the service metrics that you're highlighting. So I guess maybe two-part question here. For the fourth quarter, do you think you can get back to year-over-year operating ratio improvement? And then as we think out beyond 2022, I appreciate -- to 2022 and beyond, I appreciate that you're pulling guidance because of a lack of visibility. But do you think we have to have rebased higher sort of our expectations for operating ratio and then we can improve upon that? Or do you think there's the ability to catch up, if what we're seeing is actually transitory. So just want to kind of understand, 4Q and then how you think the setup might progress as we move out into next year.
Pat Ottensmeyer: Well, there's a lot in that one, Chris. But I'll take a stab at that. Our goal is always to improve operating ratio and I do have some confidence here that from a cost perspective, we're progressing pretty well, particularly on the equipment side. I think we've still got a little ways to go on labor productivity and fuel efficiency, but lots of focus on that. And I think a lot of its just going to depend on the demand environment. Lazaro situation is very frustrating. We can't predict accurately when that relieves itself. Refined product, we continue to have a lot of confidence in that market. There's a huge gap in supply and demand that has to be fulfilled by importation and we're incredibly well-positioned. And we'd like to think that auto begins to show a little bit of strength as the chip issue resolves itself. But if there's one thing, we will know, the entire auto sector has been wrong about how long this chip issue is going to last. So, we're just going to have to wait and see. And then as we set up for 2022, I mean, we still feel incredibly good about this business. I made the comment about medium and long-term. We don't see the growth prospects having changed at all. And having gotten over the hump now on some of the service challenges, it's incumbent on us to get productivity back to some of the levels that we saw earlier. But as you see in the data, I mean, our velocity and dwell and tripping and compliance and all those other metrics we track every single day are improving. And I think that sets us up reasonably well going forward.
Chris Wetherbee: Great. Thanks for the time. I appreciate it.
Operator: Our next question comes from Ken Hoexter from Bank of America. Please go ahead with your question.
Ken Hoexter: Hey, Pat, Mike and team. Just, if I can follow-up on the -- on some of these network issues. What resources do you have to protect yourself in Mexico? I mean, you've been dealing with the strikes, especially the teacher strikes for a really long time here. It doesn't seem like, I don't know if they're impacting other industries, or do you need the government to come in and shut down. I mean, this seems to be more a permanent ongoing impact. Maybe talk about what you've been doing and how you can control that if, if at all possible? And then, same thing in the energy reform. It sounds like you've got something going on that's been impacting and externally talked about your timeframe for resolution on those both. Thanks.
Pat Ottensmeyer: Just on the teacher strikes, this is -- anybody who's followed us for many years, it is a chronic issue in this part of the country. It's certainly gotten worse here recently, particularly because of some of the politics and the rivalry between the state level leadership and the federal level. We did have a transition in the leadership of the state of Michoacan in October 1. We were very hopeful and optimistic that that would be a breakthrough. We still think it will be a breakthrough longer-term, but the fact remains that the tracks aren't clear, the teachers haven't been removed. The issue is we need the government to enforce the law and remove the protesters and the blockage of our property. We're not law enforcement, we're not going to do that. And we are -- we lobby very aggressively with all levels of state and federal. Oscar spends a lot of time talking to government officials in Mexico, trying to make sure they understand the economic impact of this. I wrote a letter two days ago to the Finance Minister, reiterating the impact of this not just on us, on our customers, on citizens of Mexico who are employed by these companies. It does affect other businesses. The economic losses is very substantial. They do also block the highways from time to time. So it tends to be an equal opportunity disruption. But the fact remains the government is responsible for law enforcement and we just need them to do that. We are optimistic certainly that this will get resolved. We have reasons to think that payments are being made. That's what it's all about with the teachers, restoring their -- or addressing their complaints about compensation. And we just hope that the change in administration will lead to some longer-term peace in that region that will allow us to get back to sustainable operations. On the refined, I don't know -- that's a mouthful. I don't know that answer your question. As I said, it may not be a very satisfying answer, but that’s the answer that we got. On the refined fuels, the third quarter, I think we got surprised in the second and third quarter because the rules changed. The pipeline was in terms of originations coming out of U.S Gulf Coast, we're humming along at very attractive levels. And then when the product was on the railroad moving into Mexico, we noticed that the government was cracking down on some of the permits and inspections and that caused kind of a double whammy, not only did it slow down our own supply chain and the flow of that product, but it caused some unusual congestion in our yards that rippled into added cost and service disruptions across our entire portfolio. That piece of it, the congestion and service disruption from a broader perspective, I think, we have -- feel like we've really resolved during the quarter. But the heightened permit and inspection rules for this product are going to continue for some time, that may have the impact of dampening our growth and our opportunities there. But I think we now know what the rules are, we're working very productively with the government. We know that the demand for these products is going to continue to be strong, and hopefully get back into a more normal predictable cycle of how we can move this without the kind of interruptions that we've seen. I don’t know, Mike, if you have anything to add to that?
Mike Naatz: I guess the only thing that I would add is to the extent that product continues to move and some of that product is moved over to truck, we're confident that, that eventually will move back to the rail because it's easier to administer from a regulatory perspective. And quite frankly, it's more cost effective and efficient way to move the product into the country.
Ken Hoexter: Great. Thanks, Pat. Thanks, Mike.
Operator: Our next question comes from Amit Mehrotra from Deutsche Bank. Please go ahead with your question.
Amit Mehrotra: Thanks. Good morning, Pat. Just hoping to sticking with Mexico for a second. I was hoping you can give us an update on the approval process in Mexico. I know you don't really expect any insurmountable hurdles. But obviously you're progressing down that path, if you can give us any additional color. And then, Mike Upchurch, maybe even Mike Naatz obviously, wondering if you can kind of expand on the pricing opportunity you noted in your remarks. Obviously, capacity is constrained, just wondering if you can kind of compare the pricing opportunity today to maybe past periods of constrained capacity.
Mike Naatz: Before we all forget your question, we'll go to the COFECE. Our application is in. I think the ball is in COFECE's court to come back with a request for information. So it's fairly early, but I think we learned a lot about the process through prior experience here over the last several months. And so, I think this should be maybe a little bit easier. But until we get requests for information from COFECE, we're not exactly sure what that process is going to look like. There certainly should not be an issue here as everyone knows from an antitrust issue, Canadian Pacific terminates in Kansas City. They don't have any duplicate operations. So we think this is a fairly straightforward case. But we also know that COFECE has been challenged with staffing and resources. So their just normal backlog seems to be moving a little slower than we might like. But based on what we've heard so far, based on the feedback we've gotten from our advisors, we don't see any real difficulties with the case and hopefully can get approval in a matter of a few months.
Mike Upchurch: I think on the pricing side of the house, as Mike mentioned earlier, we have an attractive pricing environment right now. Certainly inflation is something that we're watching. You're seeing high incremental costs and pricing in other modes of transportation. We're certainly seeing inflationary pressures in the railroad. And we basically will hold through the same premise that we've had in the past, which is that we will be pricing at or above inflation levels, rail inflation levels moving forward.
Amit Mehrotra: But isn't there an opportunity to price well above inflation levels given how constrained capacity is? I'm sorry to ask the follow-up, but just talk about your ability to price to the market rather than just price to inflation given how constrained that capacity is next year?
Mike Upchurch: Yes, you're seeing that. To the extent that we have the opportunistic abilities to price, those are certainly things that we'll be taking into consideration as we negotiate our contracts.
Amit Mehrotra: Okay. Thank you guys. Appreciate it.
Mike Naatz: Hey, thanks, Amit.
Operator: Our next question comes from Brian Ossenbeck from JPMorgan. Please go ahead with your question.
Brian Ossenbeck: Hey, good morning. Thanks for taking the question. Just want to come back to the refined products and energy reform just more broadly. Can you just comment, what's the net effect when the regulatory side settles down a bit on the imports? Do you expect more to go to unit trains as you probably get a little bit of consolidation on the permitting side? Because I'm a little surprised to see that truck is able to pick up some capacity here. So maybe you can even comment on that. And then secondly, we've seen more comments about the LPG pricing caps. That's a smaller part of energy reform. But I guess if you can comment on that as well, because it was a little surprising. I think there's a first move we've seen on pricing that kind of went against the energy reform. So you can comment maybe on the implications of that, what the impact has been on the market as well. That'd be helpful. Thank you.
Pat Ottensmeyer: All right. I'll go ahead and start. With respect to the comments on the refined products unit versus manifest train, our unit train business has been fairly consistent. We haven't seen the same magnitude of disruption that we've seen on the manifest side of the house. We do expect that as a regulatory environment and supply chain issues, I guess, more into a normal activity, we do expect that the manifest fuels will pick itself back up. It's that manifest business that has largely migrated to the trucking portion of the business where products are taking a short haul over the Mexico border into the northern Mexico, Central Mexico marketplaces. With respect to the LPGs, I'm not sure that I entirely understood the question, but obviously, Mexico has indicated that they are going to try to contain pricing on behalf of the consumers in Mexico. That may resolve results in Mexico effectively subsidizing the LPG costs as they move forward. But again this will be ultimately become a supply and demand question with respect to LPGs moving into the country.
Brian Ossenbeck: Thank you. Yes, the question was about the pricing caps that [indiscernible] put on a couple months ago, which is the first time we've seen that since 2017. But it sounds like you aren't seeing too much of a volume impact from that. I was just curious if there's other implications of capping here that might translate to other products.
Mike Upchurch: Well, there's [indiscernible] going to -- and there's markets that -- and there's alternative markets that those products can go to, those products are probably going to migrate into those other marketplaces.
Pat Ottensmeyer: Brian, just to put it in perspective though, we're moving 2,000 to 3,000 car loads a quarter that are tied to Mexican energy reform. So it's a pretty, pretty small part of our business. I wouldn't expect it to have a big impact.
Brian Ossenbeck: Okay. Thank you guys. Appreciate it.
Operator: Our next question comes from Justin Long from Stephens. Please go ahead with your question.
Justin Long: Thanks and good morning. I wanted to ask another one on refined products. So, Pat, earlier, you mentioned that the permitting and inspection requirements could be a headwind for some time. Does that mean that you're viewing this as a structural change that you're going to have to overcome? Or do you think there's potential for some of these regulations to get pulled back? And I guess if it is a structural change, how does that influence the way you think about incremental margins and returns in this business?
Pat Ottensmeyer: I think it's maybe a little too early to know and I'll take a first shot at this and then maybe Mike and Oscar. What I meant is, there's obviously a heightened level of scrutiny not only on us, but some of our customers for permit compliance for inspections. And so some of the disruption that we're seeing here we've seen in the recent past and still experiencing is affecting the business because the players in the market, us, our customers are having to adapt to really a different compliance set of expectations. Once we work through all of that, I don't know exactly how this is going to play out. Would it result in some of the smaller players, some of the smaller participants and maybe some of the smaller terminals and receivers, deciding that they don't want to be in this business. And how that's going to play out in terms of the number of customers, the number of terminals, we can serve. The density of small terminals versus large terminals, I don't think we know how that's going to play out longer term. But I would say this and Mike, Oscar, and I think you guys can maybe add to this that at this moment, we definitely have seen fewer receiving terminals because of the change in the requirements. And I don't know, Mike, if you have thoughts or opinions about whether we will see all of those customers and locations come back or some consolidation that could actually have a benefit in terms of efficiency of the way we serve them and cost profile versus a more disparate type of a market.
Oscar Del Cueto: I guess with respect to the receiving terminals, Pat, and those facilities, my numbers won't be exactly right here, but they should be directionally correct. I'd say as a result of the government going in on a regulatory basis and reviewing licenses and permits in proper operation, the number of servicing facilities has declined by about half. We expect that number will slowly rise as these entities get their business house in order, if you will. But of course, it is going to depend upon the regulatory authorities approving those things. To the extent that we're dealing with fewer entities, there are operational benefits to us in dealing with a -- somewhat smaller pool, because there's more efficiencies we expect to move more quantities into fewer destinations. And just keep in mind, the overall market dynamics still suggest that two thirds of the demand in Mexico needs to come from other countries, namely the U.S to make up the shortfall in demand here. And rail is going to be much more efficient than truck. And if you think about compliance with regulations, much easier to inspect with rail operations than it would be with trucks given the nature of our operations. So that's why we still feel good about this market as it settles back out.
Justin Long: Okay. Thanks, everyone. Appreciate the time.
Pat Ottensmeyer: Thank you.
Operator: Our next question comes from Tom Wadewitz from UBS. Please go ahead with your question.
Tom Wadewitz: Yes, good morning. I'm not going to ask you about refined products. But the -- let's see. Pat, I wanted to get your sense of kind of a longer term thought on outsourcing interest. I mean, the supply chain disruption we've seen this year has been just remarkable. And certainly the costs of importing from Asia have skyrocketed in terms of container rates. Do you have any kind of -- what have you seen from customers that would point to long-term opportunities for kind of outsourcing from Asia to Mexico? Are there any customer types or things that you'd say, well, this is kind of interesting from -- I know these things would take time, but from a longer term basis, if you have any thought kind of related to the dramatic disruption we've seen this year in supply chain.
Pat Ottensmeyer: You're right. These things take time. As we said in the recent past there, we can't show you a long list of announcements of new plant locations, whether it's in Mexico or across North America. Obviously, the combined CP KCS North American network is going to benefit and hopefully help drive some of these decisions across the entire continent. I think the thesis is still very much alive. The supply chain issues, the prolonged supply chain issues that everyone is very well aware of are certainly doing nothing, but fuel some of those decisions. And -- but there's a lot of work to do in terms of thinking up and implementing USMCA resolving differences between the three countries and specifically between U.S and Mexico on a lot of issues, make sure that our government policies don't diminish to a large extent the opportunity that really North America should be having. We had Mike Naatz and I -- and I'm not going to overplay this. It was very early, that we had a discussion last week with a very large discount retailer that was talking about resourcing virtually all of their material and production from that they currently are sourcing from Asia, coming into the West Coast to Mexico. This isn't a manufacturing company to retailer, but they were talking about significant volumes of product coming up from Mexico, changing their vendor supply network away from Asia to Mexico, and substantial volume that would be available to -- for us, intermodal and some of it truck obviously. But that was certainly an encouraging sign and kind of validates the thesis that supply chain decision makers are in fact looking to derisk global supply chains. Again, I don't know -- have anything terribly specific beyond that. Mike, I don't know if you have anything to add. But …
Mike Naatz: No, you said it well.
Tom Wadewitz: Okay, great. Thanks, Pat. Appreciate it.
Pat Ottensmeyer: Okay.
Operator: Our next question comes from Scott Group from Wolfe Research. Please go ahead with your question.
Scott Group: Hey, thanks. Good morning, guys. So can you just review the -- from the merger timeline, when do you think you'll know if we'll get an expedited review of the full merger by the STB? And then separately, Pat, I'm not sure if you guys are going to be doing a -- another earnings call early next year or not. But maybe for the year or so, while you guys are owned in trust, maybe can you just outline what your key priorities are for the business? Is it network operations? Is it growing the business? Is it earnings cash flow? Just what are you going to be focused on for that year or so.
Pat Ottensmeyer: I don't think it's going to change too much from what we are doing now, which is just improving network operations, being prepared to really take advantage of all of the growth opportunities that we believe are in front of us, whether it's the -- for the next year or so that we're in trust, or whether it's way beyond that. Certainly, you know the story of the CP-KCS merger thesis, it's all about growth. So we want to do everything we can to get our network prepared to handle our part of that. And I think I feel -- and Mike said it well, we're set up for that. We really believe that some of the revenue headwinds that we've been experiencing are still transitory. We can argue about how long period of time you are able to declare something transitory, but certainly the auto industry, no doubt that's going to return and we got 16 auto plants in Mexico and we -- when that business comes back, it could come back very strong. So I think it's going to be capital efficiency. It's going to be improving the performance of our network and doing all the things that we can. I've certainly dusted off the service begets growth mantra for the last few months, kind of not getting through COVID, that seem to fall by the wayside a little bit, but I don't think there's going to be any -- other than obviously dividend and capital allocation in terms of share repurchase and that type of thing, that will change. But I think in terms of focusing on the core elements of the business and John, and the operations team continuing to just get better in capital expenditures where we think we really need them to be prepared for growth. A good example is the second bridge at Laredo. We're definitely full steam ahead on that project, because we think that's going to be necessary. As far as the first question about the expedited merger review, I don't know when we will. I'm looking at Adam Godderz here, when we might have more clarity on whether the STB is going to accept that timeframe.
Adam Godderz: Yes, Scott, this is Adam, Pat is exactly right. I don't know that we have a good answer for you right now. Obviously, we're working on the merger application and I think we're in good shape to file that in the very near future, which will then really start that clock on the process for reviewing the full merger with the STB. I think we're still sort of holding true to the projection that the final merger approval, if you will, will be obtained there in the second half of 2022. But at this point, that's the best guidance we can give.
Scott Group: Okay. Thank you guys. Appreciate it.
Pat Ottensmeyer: Thank you, Scott.
Operator: Our next question comes from Bascome Majors from Susquehanna. Please go ahead with your question.
Bascome Majors: Yes, thanks for taking my question. Clearly, you're optimistic that a lot of the volume challenges are going to come back and you're resourcing appropriately. Can you talk through maybe parts of your business where you think demand has been lost, semi permanently or permanently? Just trying to think about where you're less optimistic about a snapback in a mid-term timeline? Thank you.
Pat Ottensmeyer: I guess, I'll start with that one. Coal has been very good to us here recently. Demand is higher and natural gas prices have supported use of coal. But as you know, that is something that tends to be very volatile, even though it's a small portion of our book and we're optimistic on that. Certainly going into the first half of next year, I'd say that some of the coal tailwinds that we've had are at risk and moving into the future.
Bascome Majors: Thank you.
Operator: Our next question comes from Brandon Obolensky from Barclays. Please go ahead with your question.
Brandon Oglenski: Hey, good morning, everyone and thanks for taking my question. Pat, I guess if we can just follow-up from Scott's question about priorities in 2022. It seems like some of these issues can be recurring, especially at the teachers strike. And obviously you don't know, like what regulations can change your end markets. But how do you build in more resiliency and variability in the model such that you can maintain operating ratio improvement going forward?
Pat Ottensmeyer: I think I'll maybe take a stab at that and ask John to comment on that. But I think it's just the improvements that we've made in some of the fundamentals and the focus on the way we operate. We needed to clear out some of the congestion and the issues that really caused us to get choked up. But I would say now that we really believe a lot of that is behind us and we're in a position where the network is performing extremely well. The one statistic that John mentioned was the grain cycles. I don't -- I mean, 15 years I've been here, I don't think we've ever seen grain cycle times for cross border grain going from Western Illinois all the way into deep into Mexico have ever been this good. So as the volume comes back, I think we are in really good position to handle that and handle it very efficiently because of the things we did during the third quarter to get the network back to a very high level of performance. So, John, in terms of resiliency and ability to handle these events and growth in the future. I don't know if you want to add to that.
John Orr: Yes, thanks, Pat. It's a great question. And the reality is in the rail industry and any transportation ecosystem, there's always something going on somewhere, it's either a headwind or tailwind and the development of the team and the capability of perspective, execution capacity and deliverables are what separates leveraging up on the spot opportunity, or dealing effectively with interruption. Teacher strike, the refined fuel product issue and even some of the weather issues that we've had to deal with are not unique, especially to KCS to happen across a lot of airways. But the -- for me, it's the resilience of the team, the vertical and lateral alignment of operations, the commercial team and finance team to always be working on continuous improvement is the starting point. And you're right, Pat, when I look at the principles and the discipline that surround the improvement on the green -- cross border green supply chain, taking it down from 27 days to 15 days over the course of 5 or 6 months, is really the team diving into every segment of that supply chain, offline partners, first mile terminals, last mile terminals across two countries and across the border and breaking it down into manageable incremental improvements and setting standards. It's the same through any asset allocation, any people monitoring people support, and making that happen. So from my view, we're looking at what we've learned from continuous improvement. Where are the barriers. And we've got now a catalog of capacity improvements for the next 3 to 5 years based on a reasonable projected growth, based on the some of the headwinds we bumped up against through the course of this continuous improvement agenda. And when we look at it from a product level and view from PSR, making sure that we focus on growth, that we're maximizing the use and more importantly, the reliability, the health of our assets, the strength of our people to deliver reliable customer service that creates that resiliency. And some of the early onset initiatives from Slide 8 that manifests themselves into the continuous improvement as well and velocity were the establishment of institutional playbooks that then set the standards for terminal activity for how we see crews and crew management for our next level of improvement is from a capacity perspective from a collective bargaining perspective. And it just takes us along that continuous improvement continuum. So that's what I would say the health of the same strength of the team from a network perspective down to the field maintenance of weighing engineering, creating reliable sustainable value proposition for our customers. And it can't be missed, that there's -- from operations, commercial and the financial group being cohesive and aligned in sustaining this momentum really builds the constructive tension within the organization to keep our elbows sharp, our eyes are well-positioned on what our values are, and deliver a safe, reliable customer service proposition. So even when we go somewhat long on assets, like locomotive, sweating them, making sure they're actually working. And if they're not putting them in position so that we reduce some of the fixed costs and variable costs, so that they're ready when we need them. That, to me is that discipline I'm seeing across the operating team.
Brandon Oglenski: Thank you.
Operator: And ladies and gentlemen, our next question comes from Jeffrey Kauffman.
Jeffrey Kauffman: Hello, thank you for taking my question. In light of some of the operating challenges with the autos and with what's going on in Lazaro, has there been any thoughts about the capital budget in terms of network investment? Are we still sticking with the same numbers that were out there? And I guess I was just wondering how your thoughts are shifting on that given the environment and some of the supply chain challenges?
Mike Upchurch: Yes, we're not changing our focus on the required CapEx spend to support the growth in the business. We're much longer term thinkers and just a quarter ahead we have a lot of confidence we will continue to grow this business post combination with CP. A lot of revenue synergy is available to the combined network here that would suggest us that we keep our plans intact and make sure that we can handle the kind of volume that we've historically been able to deliver on this network. So no change at all.
Jeffrey Kauffman: Okay, that's my one. Thank you.
Mike Upchurch: Thank you.
Operator: And ladies and gentlemen, with that we will be concluding today's question-and-answer session. I now like to turn the conference call back over to Mr. Ottensmeyer for any closing remarks.
Pat Ottensmeyer: Thanks everyone for your attention. We'll do our best to keep you all posted as things develop on the merger timeline front and look forward to seeing you all at conferences around the market here in the future. Thank you.
Operator: And ladies and gentlemen, that will conclude today's conference call. We do thank you for attending today's presentation. You may now disconnect your lines.